Operator: Ladies and gentlemen, welcome to the Temenos Q1 2025 Results Conference Call and live webcast. I'm Sandra, the Chorus Call operator. [Operator Instructions] And the conference is being recorded. [Operator Instructions]. At this time, it's my pleasure to hand over to Jean-Pierre Brulard, CEO. Please go ahead, sir.
Jean-Pierre Brulard: Thank you, operator, and good evening, and good afternoon. Thank you all for joining us for our Q1 '25 results call. I would like to talk through our key performance and operational highlights for the quarter before handing over to Takis. So starting with an overview of the quarter. The sales environment were stable until the last two weeks of the quarter, when we are starting to see a number of deals being pushing out because of the macro uncertainty. We have not lost these deals and currently expect them to sign in Q2. Indeed, several have done already signed in the first 3 weeks of April. The underlying business performance was quite strong with high teens growth in software licensing, mainly for subscription. This largely compensated for the impact of downsell for large customers running Buy Now Pay Later, BNPL on our SaaS platform. And it's important to note that we have anticipated that when we announced our guidance in February. And let me add as well that the BNPL customer was one-off customers and noncore business as well. Aside from this, we delivered solid ARR and maintenance growth, which gives us visibility on future recurring revenue and free cash flow. We continued making targeted investments across the business to support our strategic road map and also made good progress in our cost savings initiative. And overall, we have a strong growth in profitability this quarter. We are reconfirming today our full year guidance while recognizing the increased macroeconomic uncertainty. We are also exceptionally providing indicative growth rate for Q2, which Takis will talk through shortly. And Takis will give you as well more details on the share buyback that we announced this evening. So if we are going further, I would like now to take through a couple of deals, wins that demonstrate the strength of our platform and competitive edge. We signed a U.K.-based global payment provider for SaaS core banking. While they wanted the scalability of our platform and also our extensive experience across geographies. They saw we can support the international expansion with our localization capabilities, and importantly, included their ambition to expand in the U.S. market. And in North America, we won another SaaS core banking deal with a digital investment platform where we are replacing a neo vendor. And these clients who are struggling to implement the neo vendor core and so move to Temenos when they have greater confidence in the implementation and scalability of our platform. They also want to benefit from reduced time to market and our platform enables them to launch any product very quickly to drive the growth. We have seen as well a good number of go-lives this quarter, 70 in total, up from 61 last year, and we continue to invest in our customer experience team to ensure proper customer success. This includes our Tier 1 U.S. bank going live in our core banking for wealth in one of its European location and the European Tier 1 bank going live on core banking and payments for the international corporate business in a major Asian hub following from 2 other ones go live last year and as they standardize across the Asian operation. The U.S. remained a strategic focus for us because of the size of the market, 35% of our total market around $8 billion of annual spend. It is a sweet spot for our future growth with many U.S. regional banks needing to modernize the tech platform with our best-of-suite third-party software. We are making good progress on our U.S. growth plan, already increasing our sales capacity in the U.S. by the end of last year, which we expect to drive our U.S. pipeline growth later this year, and we are invested in customer life cycle and product specific to U.S. market. To that point, on product, we made an important announcement in Q1 with the opening of our U.S. innovation hub in Orlando, Florida. This hub will drive innovation for customers globally and as well as our U.S. requirements. It's bringing our product and technology development closer to U.S. clients and enables greater collaboration with U.S. clients and partners. So an important step to our U.S. growth strategy. At the same time, we continue to invest in key areas of our global operations to deliver our strategic road map internationally. The international market is very large around $15 billion, and we see strong demand, in particular for best of suite software across all tiers. We have an excellent track record in this space with a strong existing footprint and established sales force and client base in a regions like Middle East, Africa, emerging Europe and part of the Asia Pacific. We see many emerging markets with strong domestic growth, which is why banks are expanding their presence in this market. We are also investing in attractive markets like Western Europe when we are hiring new sales, in particular for the U.K. and Ireland. And in APAC, we signed an important partnership with Cognizant in Q1 to expand our Australian country model bank and start go-to-market activities as we see a lot of opportunity in this market. Lastly, I would like to give an update on the execution of our strategic road map. We have progressed the simplification of our product and technology organization to increase agility and align with our strategic priorities. We are focusing our research and development investments to maximize return on investment. As such, we are expanding our product and technology investments in key growth markets like the U.S. and Western Europe, while maintaining a strong presence in India. We are also progressing the simplification of our product portfolio, focusing on the products that matter to our customers and building on the sale of multi-fund when we expect to close this quarter. Sales hiring has continued in Q1 across key regions to attract top talent and give us the coverage we need to drive our sales performance. Equally important, we are invested in services and partnership to deliver on value as part of our focus on customer life cycle. And we continued hiring new senior talent across the business, included this quarter a new head of architecture and data based in the U.S. and the new CIO. Now I would like to hand over to Takis to take through the financial highlights of the quarter.
Takis Spiliopoulos: Thank you, Jean-Pierre, and welcome from my side as well. On Slide 13, I'll start with an overview of the quarterly financials. All figures are non-IFRS in constant currency and pro forma. So excluding any contribution from multi-funds unless otherwise stated. Our ARR was up 9% in Q1 '25, which was driven by strong subscription and maintenance signings. Subscription and SaaS revenues were down 2% in the quarter, which was primarily due to some deals having been pushed to Q2 '25 as a result from the increased macroeconomic uncertainty at the end of the quarter. If we look at the underlying components of subscription and SaaS, we had strong high-teens growth in software licensing, largely from subscription, which compensated for the weaker SaaS. We had already seen an impact last year from the downsell linked to a large BNPL client and has reflected this ongoing impact into our 2025 guidance when we announced it in February. Maintenance growth was very strong again, up 11%, with good levels of premium maintenance signed in the quarter. We continued our targeted investment program, in particular, making several senior hires in our product and technology organization as well as in our sales organization. At the same time, we maintained overall excellent cost control and benefited from our ongoing cost savings initiatives. As a result, we were able to deliver EBIT growth of 8% in Q1 '25. We have good visibility on upcoming cost savings and we'll be able to pull more levers in case of a deterioration of the macro environment. Free cash flow was $49 million in the quarter, up 12% and DSOs ended at 147 days, again, linked to the strong subscription growth. We expect DSOs to marginally increase this year and then to start improving in 2026 as we benefit from the cumulative cash flow linked to subscription licenses signed since 2022. We ended the quarter with net debt of $562 million and leverage was unchanged from Q4 '24 at 1.3x, well within our target range of 1 to 1.5x. And I'm sure you have all seen the share buyback we announced this evening for up to CHF 250 million or more than $300 million at current FX rates. The buyback will start on April 28 and finish by year-end 2025 at the latest. We will propose to cancel the shares at the 2026 AGM so the buyback will be somewhat accretive to EPS this year and even more accretion in 2026. Moving to Slide 14 with a few additional items I would like to flag, focusing on the pro forma numbers, which exclude any contribution from multi-fund. Maintenance delivered again a strong performance with revenues up 11%, which again benefited from strong sales in premium maintenance as well as the value uplift on subscription signings and renewals. Service revenues continued to decline in line with our strategy to work more closely with partners, and the services profitability continued to improve as expected. Looking at our operating costs, we clearly have benefited from the efficiencies and cost savings programs as well as strong cost management this quarter despite continued targeted investments in key areas of the business. Therefore, we could deliver EBIT growth of 8% and expand our EBIT margin by more than 1 percentage point to reach 31.5% this quarter. On Slide 15, we have like-for-like revenues and costs, adjusting for the impact of M&A and FX. The figures are all organic and therefore, in line with our constant currency growth rate. Our services margin continued to improve slightly with revenue and cost both down around 4% like-for-like. While product revenues grew a solid 5% despite the headwinds, our product costs were up 3% as we continue to make targeted investments in line with our strategic plan. Also, our net capitalized development costs continued to decline down to $2.2 million in the quarter. Looking at FX, there was a very limited impact on EBIT this quarter once we factor in FX movements and rolling hedges. On Slide 16, net profit was up 14% in the quarter versus EBIT, which was up 9%, mainly due to lower financing charges and some FX impact. The tax rate remained unchanged at 20.1% year-on-year, and we expect a similar tax rate in Q2. We are guiding for a 2025 reported tax rate of 15% to 17% as we expect a one-off tax benefit of around $15 million from prior years. However, we expect this benefit to only materialize in Q3 and be phased across Q3 and Q4. The normalized underlying tax rate, excluding this one-off benefit remains at 19% to 21%. EPS grew by 17% ahead of net profit growth of 14% due to the lower share count. Moving to Slide 17, we show the changes to group liquidity in the quarter on a reported basis. We generated $79 million of operating cash and ended the quarter with $135 million of cash on balance sheet. We issued a new 5-year CHF 250 million bond in March and have received the proceeds from that in early April. Our leverage stood at 1.3x at the end of the quarter, well within our target of 1 to 1.5x and even with the buyback we announced today, we still expect to end 2025 within our target leverage range, so we have flexibility and optionality to do bolt-on M&A. Moving to Slide 18. I'd like to quickly run through the details of the share buyback. It is for up to CHF 250 million to a little over $300 million at current FX rate and it will start next Monday on April 28. The buyback will continue until the end of December 2025 at the latest. The shares will be purchased on a secondary trading line with a purpose to cancel them at the 2026 AGM. The buyback will be somewhat accretive this year with greater accretion in 2026. And finally, on Slide 19, we have reconfirmed our guidance for 2025 while recognizing we are operating in an environment with increased macroeconomic uncertainty. Our guidance is non-IFRS and in constant currency, except for EPS and free cash flow, which are on a reported basis. Post the 2025 guidance and the 2024 pro forma numbers exclude any contribution from Multifonds and free cash flow is, of course, under our new definition, including IFRS 16 leases and interest costs. We are also exceptionally giving indicative growth rates for Q2 '25, which are non-IFRS constant currency and exclude Multifonds. We are expecting subscription and SaaS to grow in the range of 6% to 10% to between $106 million and $110 million of subscription and SaaS revenue for Q2. We also note that this is a small range in absolute dollar figure and the delta of $4 million represents less than 1% of the full year guidance for subscription and SaaS. We do have a couple of large deals in the Q2 '25 forecast that we currently have a good level of confidence on signing them. We also expect ARR growth of at least 10% and have a high level of confidence in achieving that. With that, operator, please can we open the call for questions.
Operator: [Operator Instructions] Our first question comes from Levin Josh from Autonomous Research.
Josh Levin: Just two quick questions. You called out macro weakness in the last two weeks of the quarter and that would have been the end of March. But Liberation Day and the Trump tariffs were not announced until April 2. So what was the weakness you were seeing in late March? And what has happened since the tariffs were announced? I mean why would clients be more confident now signing deals than they were in late March? And then the second question, you gave indicative growth rates for 2Q but we're only 3 weeks into the quarter, and most of your deals are signed during the last 2 weeks, which would be late June. So I guess, how can we be confident that these indicative growth rates are actually indicative of how 2Q will shake out?
Takis Spiliopoulos: Josh, let me take this one. I think the anticipation led some customers to dragging their feet and delay the decision-making. It’s a small number of customers. Clearly, as we have seen most of the deals went through as planned, but some customers, especially around new logos across the region. So it was in a particular region where we saw this. We’re just worried in anticipation. I think what has changed since the Liberation Day is, there is clarity that it’s not going to be an easy ride. And this is something clients while they don’t like it. I think it’s clearly something helping their own decision-making. It’s now not an unknown, unknown. It’s now something which they know. Indicative growth rates for Q2. This is based on what we always do. It’s not just everything gets signed in the last 2 deals in the last 2 weeks, the majority. So clearly, our assumption is a stable environment. We have not seen changes in the overall behavior by clients, there is a level of uncertainty there. But clearly, our growth rates are based on the pipeline we see evolving here. And I think a good – sorry, to finish that, a good indication is that some of those deals where clients were hesitating have signed in the meantime, as we mentioned, in the first 3 weeks and a solid start. Some of that clearly is something positive. So far, we haven’t a material change.
Operator: Next question comes from Toby Ogg from JPMorgan.
Toby Ogg: Perhaps just firstly, just on the subscription and SaaS line. Again, could you just help us with the magnitude of the slippage in the last 2 weeks of the quarter? And then how much of that has closed in the first 3 weeks? And then would you expect to close out the remainder of that in Q2? And then just on the capital allocation, obviously, you've announced the CHF 250 million buyback today. How should we think about capital allocation then for the remainder of the year given the incoming proceeds from Multifonds, should we think that there will be another buyback still to come on top of this one? Or this is the buyback that we should be thinking about for this year?
Jean-Pierre Brulard: So let me take the first part of your question. So in a way, we have closed circa $5 million already just to date in April, which is more or less the amount of the miss of Q1, and we are expecting to close all the deals for Q2 '25. It's the reason why we have given this growth outlook for Q2 '25 as well, which is based a good linearity in April as well and a certain level of confidence about our pipeline for Q2 despite this macro uncertainty. So for the second part of the question about the share buyback, I will let Takis comment on that.
Takis Spiliopoulos: Toby, coming back to the commentary we made in February aside from targeting any large M&A, which obviously we wouldn’t do. We would return the proceeds from the Multifonds disposal, which should close in Q2 to shareholders. So this is basically CHF 250 million buyback or more than 300 million in dollars. That’s step one. Now step two. Clearly, we plan to generate another CHF 250 million of free cash flow in terms of this year. So let’s see, I mean, there isn’t that much M&A on the horizon, maybe small bolt-on that can always happen. We’re patient, we’re selective, we’re not in a rush. So ultimately, if we drop below the target leverage range. This is something clearly to think about. But for now, I think this is – let us do this buyback first and then see what happens.
Operator: The next question comes from Frederic Boulan from Bank of America.
Frederic Boulan: Two quick questions on my side too. Firstly, coming back on the phasing between Q1 and Q2. So subscription and SaaS were down 2% in Q1, you're guiding 6% to 10% growth in Q2 despite much tougher comps in Q2. So I mean, you mentioned the BNPL impact downsell, et cetera. But can you share a bit more light into what's driving that substantial reacceleration despite the fact that Q1 last year was a very weak quarter impacted by the short sell report, et cetera? And then secondly, just coming back on the broader macro question, but you can spend a bit more time on how the current macro uncertainty is impacting your business beyond some longer lead times, I mean, we get that. But is there anything more fundamental happening in terms of what type of services banks are looking into. It seems that all you're reiterating the full year outlook. So it doesn't really point to anything meaningful on the business. But would be great to hear whether it's correct at the end of the day, not much impact. On the contrary, you see some risks to the outlook you provided earlier in the year.
Jean-Pierre Brulard: So when we issue guidance in February, we were confident that we'll be able to offset the anticipated BNPL downside headwind on SaaS by a strong subscription performance. So we have as you have seen, we have a strong high-teen growth in subscription. However, some deals were pushed out to the macroeconomic uncertainty. So I'm encouraged by the fact that we have a solid performance in April. So more or less, we recovered the $5 million, $6 million deals that we missed in Q1 in terms of volatility of our Q1 as well. So percentage-wise, it's not a lot. It's when we miss 1% or 2%, it's not a lot in terms of $1 million. And it's the reason why, as well, we have given a gross outlook for Q2 '25. We are not directly, I mean, to the second part of your question directly impacted by tariff. As you know, software and services and other intangible goods and digital services are not part of the tariff announcement to date. However, we recognize that they have created the increased macro uncertainty. Longer term, the fundamental demand driver for our product and service remain absolutely intact. We are not discretionary demand for the bank. Digital transformation is not discretionary and banks have a requirement to innovate the IT real estate to lower the TCO, enable the business to scale efficiency as well. So the fundamentals of the business remain absolutely the same. Our goal now is really, I mean, to catch up Q1 and is the reason why we have this range of 6%, 10%, but 1% -- 4% is only $1 million. So it's not a lot. And maybe, Takis, you can give some color on top of that. But to your question, Frederic.
Takis Spiliopoulos: Yes, Fred. I think it’s important to note that the headwind from this downsell of this 1 BNPL customer clearly was something we knew in February and clearly impacting the entire year without that, then we don’t want to go into too much excluding an underlying. But clearly, you can do the math, we will be growing quite a bit faster without that. So the pipeline clearly supports the assumption or the indicative growth rates we have given. Also we said high teens software licensing growth in Q1, yes, on a relatively benign base. But clearly, we want to maintain a very strong growth trajectory because we have not lost any of the deals, yes, some have taken a bit longer to close. But so far, we have the confidence to deliver this.
Operator: The next question comes from Sven Merkt from Barclays.
Sven Merkt: Can I follow up on the last point you made on describing digital transformation is not discretionary, but mandatory. When we look at past slowdowns, we have seen that Temenos is meaningfully impacted. I was wondering if there's anything specifically you would call out that might have changed or is different kind of from past recessions? And then secondly, could you comment what drove the decision of your BNPL customer to downsell?
Jean-Pierre Brulard: I will take the second part of your question about the BNPL, as I met personally the customers to understand the rationale of the downsell as well. So basically, it was a business decision, not relative to the performance of our SaaS product as well. Let me add as well that we have only 1 significant BNPL customer, which is noncore business for Temenos. So I didn't see any traction, negative traction due to the BNPL. So we are tracking these customers since quite a long term, and we are already guiding last year as well about the risk and the exposure so nothing new. That, of course, impacted our SaaS revenue. But at the same time, I'm glad to see that we have growing our business in SaaS. I mentioned in my presentation, a couple of good wins that are starting to be consistent as well quarter after quarter. If you remember well, I already mentioned that for Q4 as well. We have a couple of good wins in the U.K. and Ireland, where the SaaS demand is pretty significant. We are being as well to replace a couple of new vendors to scale our business, and I've seen the same this quarter with significant North American customers as well. So yes, high level SaaS revenue was affected by that. But at the same time, I've seen good traction in our SaaS portfolio as well. So for the second -- the first part of your question about crisis, I will hand over to Takis.
Takis Spiliopoulos: Let’s look at this from 2 angles. One is, I’ll give you some examples. If there was a major external shock to banks, GFC ‘08, ‘09, the sovereign debt crises in Europe, 2011, 2012, COVID, which obviously affected everyone there. You’re right, we saw short-term a lengthening of the sales cycles and then a recovery coming back in a few quarters when the growth accelerate again. However, if you look at call it more standard evolution when banks were not particularly badly affected more kind of normal or regular recessionary environment or growth there [indiscernible] in macro like 2015 and 2018. There was no impact felt on Temenos. So I think it’s a big difference whether banks are impacted at the core versus is it, let’s say, a growth slowdown, yes. And this is, I think, the main assumption whether you look at IMF or World Bank or the brokers, is there going to be a recession or just a growth slowdown. And given the health of banks, I think this is the base assumption we are taking at this point because clearly, they have not affected in their capital ratios or profitability. If you look just look at Q1 so that’s how we see it depending on the impact.
Operator: The next question comes from Laurent Daure from Kepler Cheuvreux.
Laurent Daure: Yes. Two questions for me. Sorry, I'd like to come back like the others on your expectations for the second quarter, but in a different way because basically, the risk is to have deal slippage from June to the third quarter. So what can hypothesis have you taken when you build the Q2 guidance relative to this risk of seeing slippage again at the end of June? And my second question is on the Buy Now Pay Later deal. I understand the SaaS business is down quite a lot. Do you expect the impact to be more or less of the same every quarter till the end of the year? And to make things very clear by the end of 2025 will you still have a revenue with that customer? Or are we expecting that to go close to 0?
Takis Spiliopoulos: Laurent, let me take those questions. So on the first one, how we built Q2, as we have commented, clearly, there is as planned originally. There are some deals we want to sign or we plan to sign in Q2. So there is some dependency on this one. The quarterly forecast we have given based on the visibility and as an exception, yes, normally, because we have seen some of the slip deals signing already. And clearly, we take as every quarter, we look at conversion ratios for the different sizes of deals and so on. So clearly, looking at the pipeline and assuming no substantial deterioration in conversion rates. This is how you arrive at the number. And clearly, you take some caution of that and that usually yields then our internal forecast in that specific case, the guidance for this year. Now on these customers will clearly not give guidance on 2026 and beyond until February 2026. We cannot also -- we cannot comment on the individual contract details for those customers. Clearly, we have reconfirmed our 2025 targets and also our midterm 2028 guidance. We also don't see a change in our ARR attrition assumption of 3%. I think this is as much as we can say as we can't go into more details of specific customers.
Jean-Pierre Brulard: And just, Laurent, I mean, let me add, as I mentioned earlier, that we factor this downsell as well. So it's not coming as a surprise as well for us. And in a way, we anticipate a higher growth in subscription in Q1. We are confident, there is the reason why for the first time, I think we have exceptionally given an outlook for Q2, that basically we will achieve this growth in Q2. Let me add as well that we have changed this year of the compensation system for the sales team. So they are paid on a semester and not an annual basis. So in a way, for -- of course, we are depending on the customer demand and macro will play a significant role, but all the teams and the pipeline is solid. It's a mix of run rate and larger deal as well of installed base on new logo is the reason why we are cautiously optimistic about this Q2. And the reason why we are disclosing Q2 guidance for this year as well. And for BNPL, Takis already commented that the downsell of this customer is anticipated in our guidance.
Laurent Daure: I understand that. But I think for us, even if you don't want to be specific and fair enough, it's important to know if there is a risk of having kind of a drag again next year or not, just very broadly.
Takis Spiliopoulos: Yes, Laurent, again, not talking about 2026 specifically, but what we mentioned is, we don’t expect a change in our ARR attrition outlook we have given. It’s always around 3% per annum, yes. So any downsell, any churn, whether it’s a small number of larger customers or a large number of small customers, it should not deviate from that, yes. And this is something if it happens, we clearly can cover.
Operator: The last question for today's call comes from Charlie Brennan from Jefferies.
Charles Brennan: Great, thanks for squeezing me in. Just 2 questions. I know you've had a few guys at this already, but can I just come back to the magnitude of the top line miss in Q1. You seem to be framing out of the $4 million or $5 million miss but even if you have signed up that $4 million or $5 million, it would only have been a 2% growth quarter in subscription and SaaS. Like given the comp, that feels relatively weak, and again, you're implying that you're going to catch that $4 million or $5 million up or you certainly landed that early in the second quarter. But if I take your Q2 guide, H1 is only going to be on track to be something like a 3% half. If that was your expectation in the start of the year, I'm surprised you didn't flag the year up as being second half weighted. Can you just have another go at framing the magnitude of that Q1 miss for us? And then secondly, just a small point. I saw it in the presentation somewhere you've assumed a $1.09 rate for the euro exchange rate, we're now at $1.15. If we stay at this level, what's the implication for your guidance?
Takis Spiliopoulos: Charlie, let me try again. So clearly, if we deliver the lower end of our Q2 indicative guidance, we would end up around 4% for the full year. So yes, you would have slightly more to the second half. If we end up...
Jean-Pierre Brulard: For the half year.
Takis Spiliopoulos: For the half year. If we end up at – if we deliver 10% for Q2,we would end up at the lower end. Clearly, at the start of the year in February, we were conscious of the headwind we have on SaaS. But given the pipeline we have, we still have. Clearly, there was an expectation of stronger subscription growth all the quarters. In Q1, we didn’t get there for the reasons we mentioned. I think there is a good level of confidence for Q2. So it still works for the full year, but this is also what we noted giving some qualification that we don’t know what will happen if this tariff war and what the impact will be on the macro uncertainty. On FX, if we had to take at one point in time and we do this quarterly, if you look at the average euro dollar year-to-date, it’s below the $1.09. If it was to stay at $1.15, given we’re reporting dollars, I mean, in constant currency, it wouldn’t change. In terms of our outlook in terms of reported numbers, it will clearly have a substantial benefit, given that we do a substantial part of our revenues of the euro and pound, not all in dollars, while on the cost side, clearly, there is probably a small headwind on a net basis on reported numbers, you would see and you already see that in Q1. You would see some benefit, i.e., dollar growth quite a bit higher than constant currency growth.
Operator: Gentlemen, this was the last question. I hand back over to you for any closing remarks.
Jean-Pierre Brulard: Okay. So let me close to say that we are remaining cautiously optimistic. So we have our flagship event in a couple of weeks now that we will announce a lot of innovation as well about Gen AI, about product simplification as well. As Takis mentioned, it’s not a system crisis of the bank. The bank has market demand as well for nondiscretionary. And it’s never – it’s a good time as well for – as usual in crisis as well for customers to differentiate from the other and to invest despite this uncertainty to exit faster and stronger from this certain times. So it will be our challenge and to give appetite as well to all our clients as well to invest massively on what we are doing good. And I’m very encouraged by basically the wins we have done in SaaS, the go-live as well that is a good testimonial as well of basically the project happening, and we have a strong installed base. So I’m very confident, in fact, in our long-term plan. So with that, of course, everything is about execution. So we will do our best efforts as well to go to the 6%, 10% guidance that we have exceptionally given for Q2.
Operator: Ladies and gentlemen the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.